Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter 2013 Brady Corporation Earnings Conference Call. My name is Lacy, I'll be your coordinator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the presentation over to your host for today's call, Aaron Pearce, Director of Investor Relations. Please proceed.
Aaron Pearce: Thank you, Lacy. Good morning, and welcome to the Brady Corporation Fiscal 2013 Fourth Quarter Earnings Conference Call. During the call this morning, you'll hear from Frank Jaehnert, Brady's CEO, who is calling in from Europe. And in the room today are: Tom Felmer, Brady's CFO; as well as Matt Williamson, President of Identification Solutions; Scott Hoffman, President of Work Place Safety; and Stephen Millar, President of Die-Cut and Asia-Pacific. After the prepared remarks by the team, we'll open up the call to questions. The slides for this morning's call are located on our website at www.bradycorp.com. The prepared remarks will begin on Slide #3. Please note that during this call, we may make comments about forward-looking information. Words such as expect, believe, forecast and anticipate are a few examples of words identifying a forward-looking statement. It's important to note that forward-looking information is subject to various risk factors and uncertainties which could significantly impact expected results. Risk factors were noted in our news release this morning and in Brady's latest Form 10-K which was filed with the SEC in September of 2012. Also, please note that this teleconference is copyrighted by Brady Corporation and may not be rebroadcast without the consent of Brady. We will be recording this call and broadcasting it on the Internet. Your participation in the Q&A session will constitute your consent to being recorded. Thank you. And now, I'll turn the call over to Brady's CEO, Frank Jaehnert. Frank?
Frank M. Jaehnert: Thanks, Aaron. Good morning, and thank you for joining us. In the fourth quarter, we completed the reorganization for our reporting structure from geographically based to an organizations structured around 3 global business platforms: Identification Solutions; Workplace Safety; and Die-Cut. We made this change to better coordinate business strategies and execution on a worldwide basis as we have seen increasing commonality between our businesses on a global basis. We believe this focus will benefit all 3 business platforms as it coordinates strategies and leverages process on a global basis. The main product lines of the Identification Solutions business platform are: wire identification; product identification; safety facility identification; people identification; and healthcare identification. The majority of its products are sold under the Brady and Precision Dynamics brands. We go to market primarily through our strong network of distributors and strong relationship with GPOs in the healthcare industry. Key drivers for growth are new product developments and expansion into focused markets and geographies. The Workplace Safety business platform, which sells under multiple brands, including Seton and Ametco is effectively what we use to call our direct marketing business along with several other niche businesses. Workplace Safety is focused on expanding its multichannel Direct Marketing model by providing a broader set of work-based safety products and an increase in globally coordinated focus on e-business. Our third global business platform is Die-Cut, which provides precision Die-Cut solutions, primarily to the global electronics industry. As previously announced, we are actively seeking a buyer for our Die-Cut business. This quarter, we added a smaller product line, which primarily serves the automotive industry in Europe to discontinued operation. Thus, our separately reportable segment, Identification Solutions and Workplace Safety as Die-Cut is included in the one line item net of tax in our income statement. As you will hear from Tom and our Group Presidents, during the fourth quarter, our Identification Solutions business generated organic sales growth, while our Workplace Safety business experienced a decline in organic sales. Fiscal 2013 was a year of challenge and unprecedented change for Brady. We were challenged by continued sluggish global economy and a changing competitive environment in our Workplace Safety business as new market entrants and the ongoing shift to buying of buying patterns to the rep has had a negative impact on this business, which, of course, we are working to combat. In response to our sluggish organic sales growth, we made significant portfolio changes, the largest in Brady's nearly 100-year history. We sold several smaller non-core businesses and amounted -- and announced that we are seeking a buyer for our Die-Cut business. We also completed the acquisition of PDC, which was the largest acquisition ever for Brady. PDC is a leader in healthcare identification and gives Brady a strong entrance into the healthcare space. These portfolio changes are a meaningful shift in the industries we serve as we are reducing our reliance on the more volatile and less profitable consumer electronics industry and increasing our exposure to health care identification space, which we believe is less volatile and supported by longer-term macro growth trends. With the portfolio changes and the internal reorganization around global business platforms, we also engage in a business indentation exercise that resulted in developed product business structure that not only face cost but ought to bring us closer to our customers and more effectively, supports our growth. Looking broadly, if global economy appears to improve -- be improving slightly but not enough to provide a meaningful tailwind. As we look towards fiscal 2014, we are focused on executing 4 key items. First and foremost, we need to return our Workplace Safety business to organic growth. We have begun to implement the strategy of expanding our multi-channel Direct Marketing model by providing a broad set of work-based safety products with an increased focus on e-business. Turning around the negative space trend in this business is a key to Brady's long-term success. We are making significant investments in this business because of the time it will take to deliver results of these investments. We expect Workplace Safety segment profit to decline in fiscal 2014. However, we are laying the ground work for our scalable multichannel business model as we believe will return this business to organic sales growth in the latter half of the year. Second, we are focused on organic growth initiatives in our Identification Solutions business. In some established economies, we are increasing our sales force and are expanding our focus on strategic accounts and focus markets, while also improving our presence on the rep. In addition, we continue our focus on faster-growing geographies such as Central Europe, the Middle East, Africa and selected locations in Asia. Third, we need to complete the sale of our Die-Cut business. We are progressing with our divestiture process. Once our for Die-Cut business is sold, we will then be less as an IT Solutions business in Asia that is 100% focused on the delivery of the best possible customer service and customize product offerings to drive profitable growth in countries, such as China, where we see opportunities for growth. Fourth and lastly, we continue to review our cost structure. We recently announced several facility contemplation actions and also, we expect minimum net financial gain from these actions in fiscal 2014. We will continue to streamline our footprint to increase productivity and reduce costs and enhance our scalability for fiscal 2015 and beyond that we expect to see significant cost savings. I'm confident that the actions we are talking -- we are taking, will accelerate through to sales and profitability growth. Now we'd like to turn the call over to Tom Felmer for the financial review. Tom?
Thomas J. Felmer: Thanks, Frank. And good morning, everyone. I'll flow to Slide 4 to give some clarity around our underlying business results. Outlined on this page are the major items impacting comparability. First, we incurred a pretax restructuring charge of approximately $15.6 million, or $0.22 per share, in the fourth quarter. Second, we incurred pretax noncash impairment charges of $204.4 million, or $3.71 per share, related to the write-down of certain long-lived assets in Asia-Pacific region, the write-down of goodwill on our Workplace Safety business in the Americas and the write-down of certain other intangible assets. Third, during the quarter ended July 31, 2013, we also recorded a noncash tax charge related to the funding of the PDC acquisition and noncash tax valuation allowances totaling $4 million, or $0.08 per share. And lastly, we realized a pretax benefit of $4.2 million in the quarter, or $0.05 per share, related to the reversal of restricted stock expense as we do not anticipate that the associated performance criteria will be met. As you can see, if you exclude these items, our EPS was $0.53 in the fourth quarter. Moving on to Slide 5. Sales from continuing operations were up 14.9% to $309.1 million in the fourth quarter. Acquisitions, net of divestitures, added 16.9% to sales, foreign currency translation added another 3/10 of 1% and organic revenues were down 2.3%. By business platform, Organic revenues were up 2.1% and Identification Solutions is down 8.6% in Workplace Safety. Our fourth quarter gross profit margin finished at 50.8%, down from the 54.8% gross profit margin in last year's fourth quarter. SG&A expense was 34.6% of sales in the fourth quarter of this year compared to 37.3% of sales in the fourth quarter of last year. EPS from continuing operations was a loss of $3.41 per share in the quarter due to the restructuring and noncash charges I just mentioned. On a non-GAAP basis, EPS from continuing operations was $0.53 in the fourth quarter, compared to the prior year's non-GAAP EPS of $0.56. Slide #6 introduces our continuing operation guidance for fiscal 2014. We anticipate organic sales to range from a slight contraction to low single-digit growth with organic sales strongest in our Identification Solutions business. We also expect organic sales to be down in the first half of the year and restructuring -- and returning to positive organic sales in the second half of fiscal 2014 as our initiatives to improve our Workplace Safety business begin to produce results. For fiscal 2014, we expect earnings from continuing operations per diluted Class A nonvoting common share of between $1.80 and $2, exclusive of restructuring charges and other nonroutine items. Included in this guidance is an incremental $0.08 of benefit from the acquisition of PDC, approximately $0.40 of benefit from the business simplification activities net of certain reinvestments, approximately $0.20 of costs related to investments in our Workplace Safety business, half of which are digital-related investments, and approximately $0.25 of incremental expenses due to increased incentive composition. The anticipated return of incentive compensation to a more normal level in fiscal 2014 is because we paid minimal bonus in fiscal 2013 and we also reported a $4.2 million benefit in fiscal 2013 that will not recur in fiscal 2014, due to the restricted stock expense reversal that I just mentioned. To put this in perspective, even with this increase in incentive compensation, our anticipated fiscal 2014 incentive payout will still be less than half of what they were in fiscal 2011. This guidance is based on current exchange rates, the full year income tax rate in the mid to upper 20% range, capital expenditures of approximately $40 million and depreciation and amortization of approximately $50 million. We're also anticipating restructuring charges of approximately $30 million in 2014 due primarily to facility consolidation activities. We do not anticipate much in the way of benefit from the facility consolidation activities in fiscal 2014, but we do anticipate pretax savings of approximately $10 million in 2015. Moving on to Slide 7. This is a summary of our quarterly sales trends. Revenues were up 14.9% in the quarter to $309.1 million. Moving along to Slide #8. You can see the trending of our gross profit margins. Our fourth quarter gross profit margin is 50.8%. If we exclude the impact of PDC, our fourth quarter gross profit margins would have been 52.3%. We continue to focus on driving gross profit improvements through lean strategic sourcing and the reorganization activities that Frank described. However, in recent declines in organic sales volumes, combined with the lower gross profit margins from acquisitions, has resulted in lower -- in reduced gross profit margin when compared to the 54.8% incurred in last year's fourth quarter. On the right-hand side of the slide, you can see that the trend -- you can see the trending of our SG&A expenses. SG&A expense was up $100.3 million in Q4 of fiscal 2012 to $106.9 million in Q4 of fiscal 2013. The primarily reason for this increase in the SG&A is the addition of $13 million of SG&A from PDC. SG&A expenses in the fourth quarter of fiscal 2014 were positively impacted by the $4.2 million of reversal of restricted stock expense that I mentioned earlier. Moving on to Slide 9. You can see that our diluted EPS from continuing operations, excluding certain items, was $0.53, which compares to $0.56 generated in the fourth quarter of last year. We've summarized our Q4 and full year cash generation on Slide 10. During the quarter, we generated $53.9 million of cash from operating activities, returned $9.9 million to our shareholders in the form of dividends and repaid $26.6 million of debt, all resulting in a $14.1 million increase in cash this quarter and a cash balance of $91.1 million at July 31, 2013. Brady continues to demonstrate strong cash generation as we generated a healthy $144 million of cash flow from operating activities during the year end of July 31, 2013. On Slide 11, you can see that our balance sheet remains strong. Even after completing the largest acquisition in Brady's history in the second quarter, our gross debt-to-EBITDA remains at approximately $1.7 million inclusive of the trailing 12 months of PDC's EBITDA. Having a strong balance sheet and such a strong cash generating business puts us in solid financial position to fund future organic and inorganic growth opportunities. I'd now like to turn the call over to our Presidents for a review of our global business platforms. Let's start with Matt Williamson, President of ID Solutions. Matt?
Matthew O. Williamson: Thank you, Tom. And good morning, everyone. Please turn to Slide 12 for the ID Solutions review. As Frank mentioned, this is the first time that we are reporting historical financial results for these global business platforms. The Identification Solutions business focuses on innovative solutions sold primarily under the Brady and PDC brands for a broad range of applications, including the identification of wiring products, safety and facility identification, people identification and healthcare identification. We go to market primarily through our strong network of distributors and strong relationships with GPOs in the healthcare industry. Identification Solutions is a true global business, with more than 40% of the sales outside of the U.S. Comments on Slide 12 generally refer to the -- our fourth quarter performance. However, at the bottom of the slide, you can see the last 8 quarters of financial results for IDS. Over the last 2 years, we've averaged low single-digit organic sales growth and excluding the impact of PDC, we've averaged segment profit of approximately 24% to 25% of sales. In the fourth quarter, sales in the ID Solutions business platform increased 30.7% to $209.6 million. The acquisition of PDC contributed 28.4% to sales, foreign currency translation provided a modest revenue increase of 0.2% and organic sales increased 2.1%. Looking deeper into our fourth quarter results. Our Brady Brand business in the U.S. experienced organic sales growth for the eighth straight quarter as we continue to launch innovative new products that are driving positive results. At the same time, our business in Brazil was lower than expected, as sales to our OEM customers were softer than planned. Brazil's organic sales were down 11% in the quarter due to difficult economic conditions and an increased competitive landscape in our OEM customers. Brazil is a key emerging economy for both our OEM and MRO customers and we're focusing on improving the quality of our products manufactured in Brazil and differentiating ourselves by offering unique manufacturing capabilities to fulfill the needs of our customers. We remain committed to returning the growth in Brazil as we see this as a future growth area. Our business in EMEA experienced low single-digit organic sales declines in the quarter as any growth in emerging economies of EMEA were not enough to offset the declines in the more mature markets of Western Europe. Asia reported organic sales growth as our team is focused on providing exceptional customer service to a broader group of customers as we move through the transition from being an integrated business with Die-Cut to a stand-alone business focused on Identification Solutions. We've recently combined our PDC and People ID businesses under the single global leader, Tracey Carpentier, as there are clear sales synergy opportunities between PDC's suite of products and Brady's People ID products. Additionally, we'll be combining our R&D efforts to help build a strong pipeline of innovative products for the healthcare industry. Overall, PDC performed well in fourth quarter with sales of $45 million, which is approximately 1% -- up approximately 1% compared to the same period in the prior year. Segment profit increased 18.8% to $47.6 million in the quarter, compared to $40 million in last year's fourth quarter. PDC was a significant driver of our increased segment profit, adding approximately $9 million in the quarter. As a percent of sales, segment profit was 22.7% this quarter compared to 25% in last year's fourth quarter. PDC was dilutive to our segment profit percentage. Without PDC, fourth quarter segment profit would have been 23.5% of sales. Our ID Solutions strategies overall have not changed significantly. The keys to our success continue to hinge on our ability to consistently meet our existing customers' needs and convert new customers by providing an unrivaled customer experience supported by strong industry expertise and a steady stream of innovative new products. For instance, in the fourth quarter, we launched several new materials for the marking of printed circuit boards. We also launched a new flame retardant labeling solution, specifically for our electronics customers. We're also excited about the completion of the development of very innovative materials for visual management for the harsh cleaning conditions in the food and beverage industry and a new printer for the wire identification applications. As Frank mentioned, our ID Solutions growth strategy also involved expanding into key vertical markets such as: chemical oil and gas; food and beverage; aerospace and mass transit; and healthcare. We will continue to invest in growing in certain economies where we are either under penetrated or there is a strong macro trend for growth. These markets include: China; Central Europe; Middle East; Africa; and as I said earlier, Brazil. As we look to fiscal 2014, we anticipate continued low single-digit organic sales growth with our strongest areas of growth continuing to be the United States. We anticipate soft economic conditions to persist in Europe and Brazil while our business in Asia should continue to increase, albeit from a small base. From a segment profit perspective, we anticipate segment profit as a percent of sales in 2014 to be similar to fiscal 2013. PDC, an increased incentive compensation, will provide a headwind to our significant profit percentage, or segment profit percentage. However, we expect this to be effectively be offset by the business simplification savings and other productivity gains. Scott Hoffman will now report on the Workplace Safety financial results. Scott?
Scott Hoffman: Thanks, Matt. And thanks to everyone for joining us today. Please turn to Slide 13 for the Workplace Safety financials. First, let me ground you in the Workplace Safety business. Workplace Safety encompasses the business that we previously referred to as Direct Marketing and also includes several other niche businesses in the U.S., Europe and Australia. We go to market through various brands, including our primary brand of Seton and Ametco. And we sell through various direct channels, including traditional catalogs, the Internet, e-mail campaigns and telesales campaigns. Workplace Safety is a true multichannel marketer of Workplace Safety products with a focus on identification-related safety products. Approximately 1/2 of which we manufacture and the other half, we externally source. We sell to a large and diverse customer base across many industries: approximately 34% of our fiscal 2013 Workplace Safety sales were generated in the Americas region; 48% came from EMEA; and the remaining 18% came from Australia. At the bottom of Slide 13, you can see the last 8 quarters of financial results for the global Workplace Safety platform, which show a trend of decelerating organic sales. Specifically in the fourth quarter, Workplace Safety sales decreased 8.5% to $99.5 million. Organic sales were down 8.6% and foreign currency translation increased sales by 0.1%. Our Australia business experienced a 13% organic sales decline in Q4. This decline was more severe than we anticipated coming into the quarter as we anticipated our normal seasonal rebound, which did not occur at our historical rate. We believe that the market share effectively remains stable and the reason for the sales decline is due to a larger macro reason, as the Australian economy continues to experience economic lows and political uncertainty. In addition, while our Australian business includes sales in many different industries, we have a higher concentration in industries that are tied to manufacturing, nonresidential construction, and most importantly, mining, all of which have been down for the last year. The Workplace Safety business in the Americas experienced an approximate 7% organic sales decline in the fourth quarter while our EMEA business, which is primarily in established Western European economies experienced an organic sales decline of approximately 8% in the fourth quarter, partially due to relatively weak macro economy. Segment profit in Workplace Safety global platform decreased 30.2% to $20.4 million in the quarter compared to $29.2 million in last year's fourth quarter. And as a percent of sales, segment profit was 20.5% this quarter compared to 26.8% in last year's fourth quarter. Our Workplace Safety business has historically stronger growth profit margins and higher selling expenses than our Identification Solutions business. Because of this income statement profile, changes in organic sales has a significant impact on segment profit. Along with the impact of reduced sales volumes, we are seeing gross profit margin degradation due to increased pricing pressures, changes in mix and a decrease in average order value. In the fourth quarter of fiscal 2013, segment profit was also negatively impacted by the investment of approximately $3 million in incremental expenses to accelerate the implementation of our multichannel strategies. Beginning in fiscal 2012, revenues in the Americas and EMEA began to deteriorate due to increased e-commerce competition, increased pricing pressures and a reduced catalog advertising. In conjunction with our organic -- our organizational change to global business platforms, we are refining our strategy to focus on and investing in key items outlined on Slide 14. In addition to expanding catalog advertising where appropriate, our strategy involves 4 main focus areas. First, we are expanding our focus on e-commerce. We've been accelerating our investments in digital capabilities as customers are increasingly buying over the web, are becoming much more price-conscious. Our commitment to grow through the e-commerce channel has kept traffic up. However, to succeed over the long term, we need to accelerate our investment to improve our customers' buying experience, and convert more customer visits into inquiries and into orders. Second, we are offering a broader set of Workplace Safety products to niche segments within the Workplace Safety market. By expanding the scope of products sold, we can leverage our broader customer reach and compliance knowledge to provide greater opportunities for organic growth around the world. Third, we are enhancing our industry-specific expertise and Workplace Safety critical industries. And fourth, we are adjusting our pricing strategies with tools and talent. As we look to fiscal 2014, we'll be making the necessary strategic investments to improve our business. However, it is also clear that even with this investment, we expect to experience reduced organic sales in the first half of fiscal 2014. Once our growth initiatives take hold, we expect improving organic sales trends in the second half of fiscal 2014, thus resulting in full year fiscal 2014 organic sales ranging from slightly negative to approximately flat with the prior year. We also expect the fiscal 2014 segment profit as a percentage of sales will be down approximately 300 basis points from the fiscal 2013 levels. This decline is due to the incremental investments required to build capabilities in support of our goal strategy. We believe our strategy and a significant amount of investment is the right thing to do and we will put this business on a path to long-term organic growth. I'll now turn the call back to Frank. Frank?
Frank M. Jaehnert: Thanks, Scott. Before moving to questions, let me summarize the key parts from today's call. Fiscal 2013 was a year of unprecedented change and transformation for Brady. In addition to reorganizing our business around global business platforms, we also engaged in a business simplification exercise that resulted in developed product structure that brings us closer to our customers and more effectively supports our growth. We also made significant changes in our portfolio of companies. We sold several smaller non-core businesses and announced that we are seeking a buyer for our Die-Cut business. At the same time, we completed the acquisition of PDC, which was the largest acquisition Brady's nearly 100-year history. Also, we were very active in making changes to our business in fiscal 2013. We still finished the year with disappointing financial results and negative organic sales trends in our Workplace Safety business. We are absolutely committed to returning to organic sales growth in fiscal 2014. Our Identification Solutions business, will continue to focus on industries such as: healthcare; food and beverage; chemical, oil and gas; and aerospace and mass transit. As well expanding into faster-growing geographies such as: Central Europe; Middle East; Africa; and selected markets in Asia. And we are significantly accelerating investments in our Workplace Safety business in fiscal 2014. As a result of the anticipated growth challenges in fiscal 2014 that you have just heard about, along with increased investments to improve our Workplace Safety business, we are expecting virtually flat earnings per share in fiscal 2014 when compared to fiscal 2013. However, I'm confident that the actions that we are taking, including the investments to return our WPS business to organic growth are the right thing to do for Brady shareholders. Brady has been around for nearly 100 years and we are taking actions to ensure that Brady will not only be around, but prosper for the next 100 years. Let's now start the Q&A. Lacy, could you please provide instructions for our listeners?
Operator: [Operator Instructions] And our first question will come from the line of Allison Poliniak with Wells Fargo.
Allison Poliniak-Cusic - Wells Fargo Securities, LLC, Research Division: The Workplace Safety, just turning back to that. Obviously, I understand the issues and the concerns in Australia. But outside of that, does it -- are you guys implying that you're underperforming in the market and these are things that you're trying to adjust with -- address some of the initiatives? Or am I thinking about that wrong?
Frank M. Jaehnert: Scott, you want to take this question?
Scott Hoffman: Sure. Yes, Allison, I think there's 2 geographies that we feel we're losing share in: the U.S; and then in Europe, it would be the U.K. There's a couple of things driving that. Our fundamental model that we've gone to market with, which is essentially then predicated on hard-to-find niche safety ID products, primarily with the catalog as the primary driver of demand generation. That's obviously changed with the Internet and the transparency of pricing, transparency of competition. So those 2 primary geographies that we struggle the most in the last year or 2. And the good thing is we've got a very clear strategy that's addressing that moving forward.
Allison Poliniak-Cusic - Wells Fargo Securities, LLC, Research Division: Okay. And I guess, part of that would be the e-commerce. And should I assume the bulk of that investment is going towards that area for you guys?
Scott Hoffman: Yes. On a move-forward basis, the bulk of the investment, investment -- it's actually about $14 million of incremental investment. About 2/3 of that is around e-commerce or digital.
Allison Poliniak-Cusic - Wells Fargo Securities, LLC, Research Division: Okay. And then just one more question. On R&D, Frank, I know you always put a nice importance there. How should we be thinking about that going forward with the new structure?
Frank M. Jaehnert: Yes. I think there's one important thing to note, one change, which we might not have talked about much in the past. We have -- when we did our reorganization in our business implication, we looked at what are the key strategies which we'd like to support. One of them, of course, is e-commerce and the other one is new product development. And we felt we need a stronger strategic marketing organization. So we have created a new function, which is strategic marketing reporting directly into Matt Williamson because Identification Solutions is there. The majority, the vast majority of our new product development is going to be. And so we are spending a lot of time and a lot of effort up front to generate ideas for new products. I'll give you one example. We are just in the process of launching a couple of new products for Food and Beverage. As I mentioned before, Food and Beverage is one of our focused markets. So what we did, basically, we said this is a focus market because it's a new market for us that we think is growing reasonably, it's not as volatile, let's go after it. And we took those strategic marketing and people have establish relationship with customers, leading customers in those markets. And sure enough, after a couple of months, we have launched a couple of new products which are for harsh washed out environment in the food and beverage industry. So we have freed up people, we have added people, we have re-allocated people to create new product ideas. So I think I would call it, we all see the benefit of it as we always see in food and beverage, we see in the aerospace industries and so forth. Anything else, you want to add, Matt?
Matthew O. Williamson: No. That's a good summary. I think, the key is our focus on improving the front end of the whole new product development process, which is just part of the whole R&D focus, which is what your original question was on. So we remain very, very committed to using all of R&D to grow and have differentiated new products. And as Frank indicated, a key part of it that we are really looking to improve is the front end of that with the global marketing organization.
Frank M. Jaehnert: And I think I would like to add one more point, Matt, but I thought you might mention it, though. We also have expanded our strategic marketing team -- excuse me, strategic accounts team. We have certain companies, customers who we consider as strategic accounts, expanded it, the team who is working on those accounts. We have also increased the number of people who work on industry-specific expertise and knowledge, industry managers. So we have really made major investments in conjunction with the reorganization business implication by reallocating people resources towards our strategies, which we mentioned before. So I think all of this together should bode well for our new product development going forward.
Operator: And our next question will come from the line of Jason Ursaner with CJS Securities.
Jason Ursaner - CJS Securities, Inc.: First, I'd like to ask about the guidance for next year. Looking at the cost savings and expenses related to the reinvestment and the strategic investments, I just want to make sure I understand what's follow-through on the original plan versus incremental. Because it looks like the savings offset by the reinvestment of the original plan is in guidance. But in terms of the upfront costs, cash restructuring for this year was a little bit higher than the $15 million to $18 million range. So was all that related to the reorganization? And then the guidance is also saying it's excluding anticipated restructuring of $30 million next year, which is savings in fiscal year '15 and beyond. So is that an incremental plan though?
Frank M. Jaehnert: Yes, I think Tom that's a question for you.
Thomas J. Felmer: Yes, Jason. The first answer is no. Not all of the restructurings was due to the -- the simplification that we talked about. There was some integration, there's still some integration from PDC and there are some fixed assets right after, so a handful of other things in addition to simplification that came into play with the other restructuring charges in Q4. And as far as the restructuring for next year, much of that is new information, and it's tied to -- the majority of it is tied to business consolidations that I think they we're doing on the operations side of the business. So much of this year has been on the front end of the business and next year, much of that setting is operations footprint.
Jason Ursaner - CJS Securities, Inc.: Okay. In terms of the cost and savings for this year, I mean, it looks relatively in line. Is it the right way to be reading it that you got the anticipated savings you're expecting for next year?
Thomas J. Felmer: Yes. We feel very good that we delivered the plans that we set forth in the guidance that we talked, we delivered on those pretty much on plan.
Jason Ursaner - CJS Securities, Inc.: Okay. And then the $0.08 incremental benefit from PDC, is that on top of the $0.10 to $0.15 accretion you previously talked about, or that's total?
Thomas J. Felmer: Yes. I'm sorry, that's...
Frank M. Jaehnert: Tom, I think that's the incremental over 2013. Isn't it?
Thomas J. Felmer: Yes. That is the -- last year, we acquired PDC and basically in January. So we had them on in our base business for 7 months so this would be the addition from the 5 months of new incremental profit.
Jason Ursaner - CJS Securities, Inc.: Okay. And in the quarter, the PDC sales, what's the growth rate on that year-to-year? Because there is some seasonality in their business, I would imagine.
Matthew O. Williamson: It was 1%.
Jason Ursaner - CJS Securities, Inc.: Okay. So in terms from last quarter where I think it saw a modest contraction, what drove the improvement there and was there a pickup in hospital admissions or new products or anything?
Matthew O. Williamson: Yes. No change in hospital admissions there. We've launched some new products which we've had some success with. The business had been -- was much more focused as we had really in the first quarter where we acquired the business is going through a significant project, implementing a new ERP system, which we completed so that allowed our sales team to get more focused on customers. And there was some timing with some customers that when you compare the first quarter that we had them versus the second quarter, which definitely improved the business. So it was multiple things.
Jason Ursaner - CJS Securities, Inc.: Okay. And then just last question, following up on the question about the Workplace solutions. Just at the very high-level, what would the general strategy be for a multichannel Direct Marketing in terms of managing pricing for catalog versus online of essentially the same brand?
Frank M. Jaehnert: Scott?
Scott Hoffman: Yes. No -- I mean if I understand your question right, Jason, will be there be a different pricing strategy from an online perspective versus an off-line, is that the basis of your question?
Jason Ursaner - CJS Securities, Inc.: Yes. Well, I mean I guess my understanding is the challenge on pricing is that the catalog price is somewhat less competitive with an online price, and it's kind of difficult to reconcile the 2 of those. So just in terms of going forward, the plan for managing price for both, within the same Direct Marketing brand.
Scott Hoffman: Yes. I mean, there's another number of elements to our strategy relative to the pricing though. We basically have some product categories that were out of the line that from a market perspective we would -- we're looking at and we are executing a strategy to get in a line that with the market with those few categories and that would be consistent across all of our channels.
Frank M. Jaehnert: Yes. We're not going to have too much of a difference between online and catalog. Talking to other companies, benchmarking -- customers really don't react well if you have to pick up a price difference in catalog and they'd been either online. So you're going to be pretty realistic. This doesn't mean that we might not have specials online, which are may be limited to a certain amount of time. Those catalogs, of course, you don't send out the catalog every month, an updated catalog. You tend to be much more flexible online. But if you have too big a price difference, it really comes back negatively from your customers.
Operator: And our next question will come from the line of Charlie Brady with BMO Capital Markets.
Charles D. Brady - BMO Capital Markets U.S.: Just back on the end of that last question about the pricing strategy and coming into alignment, does that mean increasing prices or bringing prices down because they were too high and not competitive?
Frank M. Jaehnert: Yes. Since you asked me the question, I'm going to start it, but Scott, feel free to piggyback on my question. There's no question that with the increased transparency in the Internet and the ease of new competitors coming in that there is more price transparency and there's more competition leading to lower pricing. Now this is not across all categories, but there's certain categories which are more competitive, their prices were higher than what we thought would be competitive. So we have already started reducing our prices in certain categories at the end of last quarter and we're going to do this going forward. What we have also seen, and that's where I would like Scott maybe to fill in, we have also seen a significant pickup in orders with lower prices. And of course, the strategy would be to offset the price reductions with higher volumes and in the end, end up as higher cost margin to all of us. And Scott, that's where I would like to hand it over to you because you can maybe talk about some of the tests we have done and what the results are and the strategy going forward.
Scott Hoffman: Sure. Charley, there's a couple of things that we've made investments in relative to pricing and are continuing to make investments in. We definitely have invested in talent, but also some tool that will allow us to basically scrub the market and be pretty very dynamic with our pricing strategy. So that will include adjusting prices up and down over time, and would be fairly fluid as we need to be fluid. Relative to Frank's comment, we've been doing price testing online for about 4, 5 months now. We just initiated some price changes over the last month or so offline in the U.S. and have done it recently in Europe as well. The early returns on that are quite positive. To Frank's point, we're seeing an uptick in orders/volume. We're also seeing a nice uptick in what we call new-to-file customer, which are effectively just new customers coming in and purchasing from us for the first time.
Charles D. Brady - BMO Capital Markets U.S.: All right. And also on Workplace Solutions then, how much of that business today is online sales? And what's kind of a target over the next say 2 to 3 years to get that to?
Scott Hoffman: Yes. Just look at our traditional catalog businesses, Charley. It's about 20% of our current sales are online, are transacted online. If you look at the metric across the broad Workplace Safety business, it would actually be 13%. So let me go off of the 13% to answer your question. We're expecting that to improve by about 20% off of the 13% this next fiscal year and are certainly expecting nice accelerated growth over the midterm after the first fiscal year of F '14. So we're expecting 13% of sales to move to around 19% of sales at the end of fiscal '14.
Frank M. Jaehnert: Yes. Let me just maybe clarify some of it, the 13% seems low. I think the 20% is more of what Charley was asking, because some of those businesses in the Workplace Safety, first of all is basically business where we have a direct place for us and going directly to customers, not the traditional direct mail business. The second point I want to make is, we are not talking about a digital strategy and a catalog strategy, we're talking about a multichannel strategy and it is very, very combined. For instance, you might send a catalog out to a customer first thing the customer does goes on our website and then orders from the web, or might call us and we get the order over the phone, or they might fax it in some countries like Germany, they still fax a lot. So it is a multichannel strategy and, of course, one of our strategy results are to have every touch point that you can have. Customer gets the catalog, customer gets an e-mail, they might get a phone call and it they might find us through a search engine, through Google or so forth. So it's hard to differentiate what is truly digital and what's truly non-digital offline.
Charles D. Brady - BMO Capital Markets U.S.: Thanks for that clarification, Frank. That's helpful. You talked -- on Workplace Solutions, you talked about the impact to organic sales leverage both, I guess, were on the downside as it's going to be, you're seeing down 300 basis points, some of that from spending, obviously. I guess what I'm trying to get to is, what's kind of the incremental and/or decremental margins on that business? Because if you're down 300 bps in fiscal '14 on top of what '13 is, relative to '11, you're down over 700 bps. I'm just trying to understand at what point, if ever, I guess, to that margin on that business get back up to kind of a historical level of where it's been? Or has the structure of that business changed such that it's not attainable going forward even if you do get...
Frank M. Jaehnert: Let me just -- Yes, maybe I'll start again and, Scott, you can follow on. First of all, as Scott said earlier, we're investing in 2014 about $40 million incrementally for -- and 2/3 about for e-commerce. If I heard you correct, $40 million incremental. And last year, we spent about $7 million incremental as well and this was primarily e-commerce. And part of it is going to be reflected in the Workplace Safety, profit in our statement, part of it is in IT. So I wouldn't say the $7 million is reflected altogether. So I think already last year, 2013 had a lot of incremental investment as well as 2014. So that's the first thing I want to tell. I'll let Scott now answer the question, can this business ever get back to the profitability level we used to have maybe 2 or 3 years ago.
Scott Hoffman: Yes, Charley, there's a couple of things that we're planning and we believe will happen. One, we expect benefits from some of the scalable capabilities we put into the organization, kind of hardwired it from a structural perspective. One example of that would be global sourcing that wasn't been in place before, so expect to get benefits on that. We certainly expect to get benefits from some of the facility consolidations and some of those operational improvements. Certainly, that will be -- a couple of those things will be offset by what we would expect to be some continued pricing pressure in the market, and also a change in our mix as we expand our product lines. Then if you look at the selling side of our income statement, we would expect -- we're in a unique period here, I would say for the next 12 to 18 months where we're accelerating investments around things that are going to be real difference makers from a value proposition and what we take to the market. And what we expect after that 18-month period, though, we'll get some significant scale and leverage from some of the other capabilities we've hardwired into our organizational structure. As an example, we put a data analytics group in, it's very scalable, we put a global product marketing group in, that's very scalable. And then our investments in our digital organization we expect to be scalable and leverage-able. Once we start seeing the organic growth come through from our strategies, we expect those to create a lot of nice efficiencies for us.
Frank M. Jaehnert: Yes. What I would say is at least for 2014, part of 2015, we have kind of doubled. And I don't want you to take this literally, double, but we are investing still in our traditional Catalog business while we are making significant investments in infrastructure for e-commerce, plus maybe more investments to jump start it in than what I think is required going forward especially in the catalog side. So as we're going to see more and more shift to the digital side, I think our catalog spend is going to come down. But at this point in time, what we saw and I think what Scott and Tom both said, we probably took our catalog spending down a little bit too fast and ran up our e-commerce a little bit too fast and have different returns. If we still have a good return on our catalogs and we scale it maybe back too much and we're going to rectify this going forward. We already are going to implement it in the first quarter. So basically, overtime, catalogs should come down and e-commerce should go up. And in total, we shouldn't have had the same kind of selling expenditures we have at the moment where we kind of have "double spending" and double doesn't mean twice as much, but it means more than 100%.
Charles D. Brady - BMO Capital Markets U.S.: Got you. Okay one more on ID and then I'll get back on the queue here. Can you give us a breakdown between the kind of sub-segments in ID Solutions, Wire ID, product ID, people ID? And then you mentioned that 40% plus sales outside the U.S., can you just give us a little bit more granularity on the geographic breakdown of ID Solutions?
Matthew O. Williamson: Okay. So by product, you have pretty much I would say when you look at that, that's approximately about 1/3 in each area relatively speaking without giving you the exact percent. We can give that to you if you're going to be here next week.
Frank M. Jaehnert: Exactly, that's what I would say, Matt. I mean that's a pretty detailed question because we have 5 categories in Identification Solutions but we have certain geographies. I think that's something to be certainly addressed at the Investor Day in a week from now and the material of course of the Investor Day is going to be available to the public online.
Operator: And our next question will come from the line of Mig Dobre with Robert W. Baird.
Mircea Dobre - Robert W. Baird & Co. Incorporated, Research Division: I'd like to go back to Workplace Safety. I want to make sure that I understand your comment properly here. As I understood it, Scott, you're talking about change in pricing strategy that has started to be implemented last quarter, and you're implementing that in fiscal '14. Is this sort of the year where we should see this normalization in pricing strategies across this business? Or is this a multi-year event?
Scott Hoffman: Yes. What we did, Mig, in last fiscal year, at the last quarter of fiscal '13, we began conducting online price testing. So anything that we executed in F'13 was done in Q4, it was all done with our online business. Now what we started to do in the first quarter of fiscal '14 is now move learnings from the price testing online to our offline catalog efforts. So we've executed some things in the U.S. in August and we're executing things now in EMEA in the month of September. I would expect with any good pricing organization that, that's going to be fairly dynamic. So the majority of the adjustments to the basis of your question will be concluded in the fiscal '14 time period but I think any good pricing organization needs to be pretty dynamic.
Mircea Dobre - Robert W. Baird & Co. Incorporated, Research Division: Okay, that's helpful. And also a lot of questions on the investment side, but I want to clarify that based on your guidance talking about 300 basis points of margin contraction, it looks to me like if we were to exclude the incremental investment, you're basically saying that margins are going to be flattish, maybe a little bit higher on the base business. Is that a correct way to think about it?
Frank M. Jaehnert: I think people are doing the math here, which you already have gone through. Let me just say there are 2 components: one component is incremental investment; and the other component is get back to a more normalized incentive scheme. We have not paid much of bonuses for last year, nor have we paid a lot for the year before. And as Tom said in 2014, we are going to be about 50% of what we paid in 2011, I think roughly. So 2 components: one, increases in incentive compensation. I'm not sure if we quantified that, I think we quantified it in terms of EPS. And then the other one is incremental investment. So if we take the incremental investment out, on the one hand, and you can take the incentive compensation out as well would we be flat? Tom, Aaron, did anybody do the math?
Thomas J. Felmer: They would be down some -- I think the pricing strategies we expect the margins to come down a little bit more.
Mircea Dobre - Robert W. Baird & Co. Incorporated, Research Division: Okay.
Frank M. Jaehnert: Did you talk about Workplace Safety here? Was the question Workplace Safety related, Mig, or was it company-wide?
Mircea Dobre - Robert W. Baird & Co. Incorporated, Research Division: No, it was Workplace Safety. But, Frank, you did bring up another point, and I was going to ask about that, which is the compensation. And I understand all the comments. But based on your guidance, I think this is going to be the fourth year in a row where we're not really going to see earnings growth, and I'm wondering what is really the driver here? What are the moving parts to comp that would cost higher compensation in fiscal '14?
Frank M. Jaehnert: Well, there's only so much -- only so many years you can go without incentive compensation in order to stay competitive from a workforce point of view. And there's a lot of heavy lifting to do still yet in 2014. So we feel anything about 50% off of what we would have paid historically is an appropriate payout.
Mircea Dobre - Robert W. Baird & Co. Incorporated, Research Division: Is this a moving target or is this something that's set in stone for you guys?
Frank M. Jaehnert: No. It depends on delivery of our goals. I mean, if we don't deliver our goals, the bonus will be adjusted down. But if we exceed our goals, the bonus will be adjusted on growth.
Mircea Dobre - Robert W. Baird & Co. Incorporated, Research Division: I see. I also want to ask a little bit about uses of cash because you did highlight that the balance sheet is in excellent shape and you have good free cash flow. I guess I'm wondering, why not consider some share buybacks because obviously as far as acquisitions go, you guys have so many things going on right now that I don't know if incremental acquisitions are the things that you're really looking for at this point. How do you think about returning cash to shareholders?
Frank M. Jaehnert: Yes. First of all, your second point is absolutely correct. We have just made the last acquisition in our history. We acquired PDC for a little bit over $300 million all in. The largest acquisition in the history of our company, and our #1 priority is to make sure we integrate it properly and we get the proper return from it. We are also in the process of divesting Die-Cut, which is a company, similar size, about $170 million both of them, about $130 million in sales, so that's also a priority. But we do still consider acquisition, but I don't think we are looking right now at something material or big, but we could easily talk about adding something to our Health Care business or to our other core businesses. But I would say compared to what we have done in the past, it is not as high as a priority as it used to be because we just want to make sure we get the integration of the PDC correct. Second, we still have authorizations for about and Tom and Aaron, correct me here, about 2 million shares, or $2 million, about 2 million shares, right?
Aaron Pearce: 2.1 million.
Thomas J. Felmer: 2.1 million shares, correct.
Frank M. Jaehnert: So we still have our authorization of 2.1 million shares, which we could trigger. And it's part of our tool sets [indiscernible] right.
Mircea Dobre - Robert W. Baird & Co. Incorporated, Research Division: Okay, I see. And then I guess the last couple of questions for me would be, first, maybe, Matt, on ID Solutions. You spoke a little bit about Europe, Western Europe, as well as Brazil and it looks, at least to me that the data coming out of Europe would suggest some improvement but that's not what I heard from you. And on the Brazil side, I'm trying to clarify exactly what the issue is there. You mentioned some quality issues with your product, maybe you can clarify that. And going back to Scott on WPS, I'm wondering why is it that you've only seen a goodwill write-down in North America in that business and not elsewhere as well? And that will be it for me.
Scott Hoffman: Okay, so...
Frank M. Jaehnert: I think the question regarding goodwill write-down I think should be addressed by Tom. So do you want to solve this, Tom?
Thomas J. Felmer: Yes. Mig, as far as the goodwill write-down, it really comes down to the fact that the -- in the U.S., we have 2 major acquisitions historically. One being email and the other personal concept that carried a fair amount of goodwill with it. From an accounting standpoint, that's where the goodwill existed there. We have made some acquisitions in Europe, but that business is still covering and carrying cost of a handful of smaller acquisitions that were there.
Operator: And our next question will come from the line of...
Frank M. Jaehnert: Excuse me, we have one more question for making. The question was Brazil and Europe Identification Solutions and the quality question in Brazil.
Matthew O. Williamson: Right. Okay, so with regard to Europe, as I had mentioned, Western Europe, we've seen a decline in the business, low single-digit decline. And in the emerging markets where we're focusing more people, we got more growth. And we would expect that to continue. One of the things that we did was add a number of salespeople and we really didn't get that team and the structure to support that team in place well into the year. And so we really expect a bit better year from the emerging markets. But in total, we would really expect low growth out of Europe in total with the emerging markets offsetting a slower growth in Western Europe. So same sort of trend, but we would expect a little more out of emerging. In Brazil, overall, when you look at the economy, the economy was pretty robust a couple of years ago, is pretty stagnant at this point. And that's contributed to some of it. But at the same time, we've had some issues internally in our production of some of our parts, and it's that, that I was referring to and it's an area that we've invested in to not only give us new capacity, but give us some capabilities to improve the overall quality of the products that we put out and sell. It's really a function of improving quality, improving some of the sales team that we have in place and the structure of our sales team to get better productivity out of that, and those are really the 2 things that I would focus on, is the quality of how we're going to market with our sales organization and the quality of some of the things that we've done in the plant.
Frank M. Jaehnert: Yes. And I may add, since I'm in Europe, I've been here for a week, read a lot of newspapers here. And it feels to me looking, at all business, it feels to me that Europe is improving. However, when you read the press here, most economies here, they're praying for [indiscernible] at a survey of I think 11 economies and they say, we are not even halfway through the problems, which we have solved economically in Europe, as well as the consensus. But right now, it feels like things are improving a bit in Europe, but it is just based on what we have seen over the last couple of weeks.
Operator: And our next question will come from the line of George Staphos with Bank of America Merrill Lynch.
George L. Staphos - BofA Merrill Lynch, Research Division: I guess the first question I want to check on just housekeeping, did you say 90 solutions that you're EBIT dollar should be flat as you offset the benefits with the negatives? Or just that margin will be flat as we look at fiscal '14 versus fiscal '13?
Matthew O. Williamson: It's the percent, segment profit percent only.
George L. Staphos - BofA Merrill Lynch, Research Division: Okay. The second question, how confident are you in the $0.40 of business simplification improvement in fiscal '14? It's a huge nut in terms of your overall guidance. And what kind of risk factor would you put on that, what things would -- if we are reading headlines or reading your press release, it would cause us to feel more comfortable or more concerned about you achieving that goal?
Thomas J. Felmer: Yes. I think when you look at the $0.40 element, most of those actions have already been completed, so, we announced that earlier in the year. In fiscal '13, we said that the majority of the actions would be completed by the end of the fiscal and they were, so we feel very confident about that number. And most of the activities have already been done.
George L. Staphos - BofA Merrill Lynch, Research Division: Okay. Fair enough. Next question and, Frank, you touched on it a little bit, is there a level of GDP in percentage terms, or a level of industrial production, or whatever you think the appropriate macro indicator is that once you -- once we see that, whether it's a U.S. figure or a world figure, that you would actually begin to see normal volume growth, positive volume growth, I should say, within Brady as a whole. And perhaps we'll talk about it at the Analyst Day next week, but how would you get to build a formula for gauging volume growth, how would you build it relative to that indicator?
Frank M. Jaehnert: Yes, that's actually a great question. I would suggest we address it at the Analyst Day next week, but let me just give you some idea. We have correlation models that we look at industrial production when we look at GDP and interestingly enough, U.S. GDP has a global correlation to all business. And there has to be a certain GDP growth for us to grow. So let's say if GDP is flat, we are not growing, we are going backwards. So there has to be a minimum GDP growth for us to start seeing growth. And of course, as it goes up, it accelerates. I do not have this formula right now in my head, but I think we can probably share something like this, Aaron, at the Analyst Day. Now at what point -- what's the breakeven GDP historically, if historical information is any indication of a future success.
George L. Staphos - BofA Merrill Lynch, Research Division: Okay, fair enough. We'll pick it up next week. I guess I have 2 last quick questions on Workplace Solutions, and I'll turn it over. If I heard you correctly as you're answering one of the prior questions, when you were talking to what the normal -- if your operating margin is in the business, you were adjusting for the incentive compensation. And given that you haven't paid incentive comp in this segment and in a normal year, you would hope that you would, why were you adjusting that out? I would, from my vantage point, I would include that in normal operations. And then the second question, Workplace Solutions, realizing that the past is past, I'm just trying to understand a little bit why your pricing got out of line relative to what was available on the Internet since as you said, the Internet allows such great transparency, your competitors were able to price more nimbly, it sounds like, than Brady. What prevented Brady from tracking what its customers will do, what the customers are doing relative to the products in Workplace Solutions?
Frank M. Jaehnert: Okay. Well, your first question, I forgot the first question. First question about, -- oh, why did we take out -- why did I take out the incentive compensation. You're absolutely correct. And while I was answering this question, I was wondering -- I think Mig asked the question, whether we had included incentive compensation or not, right? But you're absolutely right. If you talked about normalized earnings the incentive compensation should be assumed at a certain level, it should not be excluded, right? The incremental investment or the double investment, so to speak, should be excluded because it's a temporary thing, but incentive compensation would be not taken out. So I think that probably clarifies this. And the second question is we have, over decades, in our Catalog business, we had prices which were higher than competition. In most cases, premium products, premium prices. And whenever we adjusted pricing to a lower level, what we would experience is, less sales, less profit. And there was really no price elasticity. So this is -- that's the starting point. As we transition more and more to the Internet, this changes so that we still have customers who are actually insensitive, buying on the Catalog, but the online customers are much more price-sensitive. And actually, our reduction price online leads to a meaningful increase in volume. And so that's what we are, what we've been testing and we have concluded after observing this for a while that now is the right time to make some of those adjustments. But it's not like we are sitting there and ignored it, but history just showed us really there was no price elasticity, but we see more and more on the online site price elasticity. And we believe that our Catalog customers not only look at catalogs nowadays, they also go online and check out us and competitors and that's why we talk about increased price transparency so we think our online -- our offline customer are also becoming much more price conscientious than they used to be. And there's, after 4 or 5 years of recession, I think it also leads to more price consciousness of our customers in general. So it's not that we are looking -- we are ignoring it on -- didn't do any price test, but we just feel now is the time to make some adjustments.
Operator: And our final question will come from the line of Joe Mondillo with Sidoti & Company.
Joseph Mondillo - Sidoti & Company, LLC: Just to jump on that last question actually. So I'm just trying to wonder why this is all a sudden coming to a head now? E-commerce has been around for a while. But is it sort of what you were just saying, is it the case in point where this has been sort of a slow bleed and all of a sudden now you're just taking a much more aggressive approach to try to get the business more in line with the end customer, the end sort of a sales chain?
Frank M. Jaehnert: Well, I would say, yes, let me answer the following way. Of course, we have had e-commerce for quite some time. We have made investments, we have the website, we have shopping cost functionality, we have search engine optimization and so forth. We are just accelerating this, and I think one major change that -- and I think is really going to be helpful, we used to do all of these relatively independent from country to country. So France will do their own thing, and then Germany would do it a little bit differently. And also the adoption rate of e-commerce in different countries were different; U.S. was much faster, Germany comes next and maybe France and Italy follow. And so we had a country-by-country approach. But in the meantime, I think we are deploying to where we feel that a globally coordinated approach is much more helpful. Having 1 software all over the world instead of having maybe 5 or 6 different softwares. You can be faster to change, you have capable processes, and the reorganization which we implemented in May 1 with our first quarter is a manifestation and just another step of taking this e-commerce to another level because now we can do this globally. For instance, we're going to have a digital group, there's about 40 people essentially. And then, of course, they have digital, they have people in the country that now who can report to them, coordinate our digital strategy much more than what we have done in the past. So it's not that we didn't do anything in the past, we're just accelerating it even further. As we also have seen our customers being much more open to it. We used to have customers 1, 2, 3 years ago, who didn't even have access to a laptop or to a computer because they are sitting somewhere in [indiscernible] in the warehouse. But this has changed and so we have to change as well with this.
Joseph Mondillo - Sidoti & Company, LLC: Okay. And then is there any way to sort of get an idea of what sort of normal profitability is in this business? In other -- at least maybe a trend, do you expect things that you're investing in right now and the talent that you're bringing in, that this year you're accelerating all this. So it's all coming to a head in '14, and we start to see sort of a trend in margin upwards? Or is it sort of trying to just stop the bleeding? How do you think about long-term profitability?
Scott Hoffman: Joe, this is Scott, I'll take that. I mean the way we're thinking about it, and the way we're planning is as, I think, I and the several others have said, it's definitely an accelerated investment period right now for the next 12 to 18 months. We expect, as indicated earlier, to turn this business to organic growth in the second half of fiscal '14. In this business, the market that it's in, the safety market is a 2% to 3% growth market. We expect this business to be at, or above, that level next fiscal year. And that would be consistent with what we project GDP growth to be. So from a top line perspective, we see this to be a single, a low to mid-single digit organic growth business. And from a bottom line perspective, we would expect to exceed that pace.
Joseph Mondillo - Sidoti & Company, LLC: Okay. And then just 2 quick questions. The ID Solutions, the sequential growth over the last 4 quarters, is that just a seasonal thing with PDC or is that something else?
Matthew O. Williamson: Let's see. I'm just looking at the chart here. So when you have organic sales growth, you can see that broken out by quarter. And so the growth really accelerated in total in Q3 and Q4 due to the acquisition, that's where you would have seen that. But otherwise, you would just have a normal operations of the ID Solutions business. It's not, I wouldn't say, a huge seasonality impact there as you'd look quarter-to-quarter.
Joseph Mondillo - Sidoti & Company, LLC: Okay. And then just lastly, the facility consolidation. Just wondering, one, if that included the Tijuana facilities, and then also if you see any further opportunities with the footprint?
Thomas J. Felmer: Specifically, that does included or impact Tijuana and we're really looking at the facilities around the world, so it's a global view of all of our footprint.
Joseph Mondillo - Sidoti & Company, LLC: Okay. So we could possibly see more in the future?
Thomas J. Felmer: It's possible. I think we have talked about in the past is that this is something that every year we've done some facility consolidation for several -- we've done that for many years. Much of it is consolidating what we have acquired and that's been part of our strategy and we continue to look at opportunities.
Operator: Ladies and gentlemen, this concludes the Q&A portion of our conference. I would now like to turn it back to Aaron Pearce for closing comments.
Aaron Pearce: Thank you for your participation today. And as a reminder, the audio and slides from this morning's call are also available on our website at www.bradycorp.com. The replay of this call will also be available via the phone beginning at 11:30 a.m. Central time today, September 12. The phone number to access the call is 1(888)286-8010 or (617)801-6888, and the passcode is 78814699. Also, I'd like to remind you that Brady will be hosting an Investor Day on Thursday, September 19 at our headquarters in Milwaukee. For those of you who will not be at the Investor Day in person, we encourage you to listen to the webcast, which will start at 8:30 a.m. central time. And you can access that webcast at www.bradycorp.com. As always, if you have questions, please call us. Thank you, and have a great day. Lacey, can you please disconnect the call?
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may all disconnect. Good day, everyone.